Tim Lange: Yes. Good morning, ladies and gentlemen, and welcome to our Q2 earnings conference call. Pretty early in the morning. My name is Tim Lange, Head of Investor Relations. And with me are Klaus Engel, CEO; and Wolfgang Colberg, CFO of Evonik.
 Let's right start away -- let's start right away with the presentation, which will take about 25 to 30 minutes and will then be followed by the usual Q&A session.  
 With this, I would like to hand over to Klaus Engel. 
Klaus Engel: Ladies and gentlemen, good morning. A very warm welcome from me as well, and thank you for joining today's Q2 earnings call. Let me not beat about the bush. The new chapter in our company's history as a publicly listed company got off to a more difficult start than expected as regards both our share price performance and also our earnings in the second quarter. Nevertheless, let me assure you that the entire senior management team is fully committed to develop and to materialize the significant value creation potential throughout our business portfolio, even -- or in particular, in times of stronger headwinds.
 First of all, I would like to highlight the most important developments during the past quarter. I'm first of all happy to report that we have made another important step towards transforming Evonik into a pure-play specialty chemicals company by divesting a majority stake in our Real Estate activities. This transaction was closed just 2 weeks ago in mid July, and I will go in a little bit more detail on the next slide in a minute.
 As a result, Evonik now consists of a strong and focused portfolio of specialty chemicals, large part -- large parts of which have once again proven resilient in difficult market conditions in the past quarter; 3 out of 6 Business Units delivered broadly stable or even higher earnings. As a matter of fact, the global economic environment, of course, remains, all in all, more challenging than expected earlier and conditions are still subdued in some important regions, like Europe or China. And on the other hand, the typical seasonal improvement, for example, in the construction or coatings industry was this time not as pronounced as usual. 
 In Q2, we saw, in particular, lower prices for some of our key products: Methionine, partly due to avian flu in China; and Butadiene, mostly due to weak tire markets. They could not keep up with the extraordinary high price levels of the previous year. And on top of that, there was an extensive maintenance shutdown in our C4 chain, leading to a decline in adjusted EBITDA of our group of 23% in the second quarter.
 Since the first half of the year was weaker than expected and we anticipate the second half to continue at this weaker level, we have revised our guidance for 2013. We now expect sales to be around the same level as in 2012 at around EUR 13 billion and adjusted EBITDA to be around EUR 2 billion. 
 In response to a more challenging environment, we will be driving forward the efficiency enhancement measures under the On Track 2.0 program. And in addition, we have set up a cost management project to identify potential short-term savings, and we will be leveraging, of course, the flexibility in our EUR 6 billion CapEx program. Throughout the following presentation, we will provide you more details of these measures.
 Let me start with the Real Estate transaction. We closed the transaction on July 17, leaving Evonik with a stake of just 10.9%. The transaction structure and the valuation is essentially as outlined in our Q1 conference call. We only had to make a few minor adjustments to comply with the recent changes in tax law.
 As a result, Evonik's remaining stake in Vivawest is, as I said, 10.9%, not 8.2%, as we announced back then. And the significant reduction of our indebtedness now totals EUR 3.1 billion, EUR 100 million lower than the previously announced amount of EUR 3.2 billion. In the midterm, we plan to divest the remaining 10.9% stake in Vivawest to long-term investors.
 Wolfgang will now provide you with more details about the Q2 financials before I take over for the guidance again. 
Wolfgang Colberg: Thank you, Klaus. Good morning, ladies and gentlemen. Also warm welcome from my side. Let me summarize the financial highlights in the second quarter, which was characterized by weak performance in a difficult economic environment, and it was impacted by a number of clearly temporary effects, some of which will be reversed in the next quarter.
 Overall, volumes were positive in 5 out of 6 Business Units and improved by a total of 2%. This was even stronger than in the first quarter when volumes were flat. Only Advanced Intermediates reported lower volumes, mainly as a result of the extensive maintenance shutdown. Prices were down 5% at group level. This reflects lower prices mainly from Methionine and Butadiene compared with the last year's strong levels. And it was also the main reason for the 23% or EUR 143 million decrease in adjusted EBITDA. More than EUR 100 million of these EUR 143 million are due to  Methionine and the performance intermediates alone. This is unprecedented in terms of both scope and timing to totally uncorrelated end markets, feed additives and Butadiene weakened simultaneously. 
 Please, ladies and gentlemen, don't think we are trying to make excuses here, but it has something -- some characteristics of a perfect storm and is normally highly unlikely.
 Let me skip Charts 7 and 8 on the income statement. Not many surprises here. And the explanations are given on the charts on the right side. So I would like to directly concentrate on our operating performance, so please move to Page 9. A large part of our portfolio showed resilience in a difficult economic environment. This is reflected by the fact that 47% of our business has generated organic sales growth, including amongst others, businesses like Baby Care, like Silica, Oil Additives and also Active Oxygens. Volumes were higher in more than 60% of the portfolio. The majority of the 30% of businesses where prices' end volumes were down, were impacted by extraordinary effects. This applies above all to performance intermediates due to the maintenance shutdown of integrated production facilities.
 So Chart 10. On a year-on-year EBITDA bridge, we also see that 3 out of 6 Business Units, namely Consumer Specialties, Inorganic Materials and Coating & Additives, generated broadly stable or even higher earnings despite the difficult market conditions in some cases. The overall decline in earnings was mainly caused by lower prices for Methionine and for Butadiene and some clearly temporary effects.
 For example, the maintenance shutdown and also some logistics issues in our C4 chain led to an earning decline of about EUR 30 million. Moreover, the lower Butadiene price had a negative year-on-year effect of around EUR 40 million.
 Let me now move on to the performance of our segments in the second quarter, so please move to Chart 11. In our Consumer, Health & Nutrition segment, we were able to expand sales. Strong volume growth across most businesses more than offset the decline in prices in Health & Nutrition.
 In Consumer Specialties, we saw good growth across most businesses, for example, in Personal Care. Demand was particularly strong for our Baby Care business, where we saw high demand in the market and continue to benefit from a planned outage of a major competitor. We had price adjustment clauses. We were also able to fully pass on the propylene price increases, which we experienced in Q1. We expect our competitor to ramp up its facility stepwise in Q3, so we do not expect strong volume drop in this quarter. Third quarter should therefore be another strong quarter for Consumer Specialties.
 Volumes also increased for amino acids. In Lysine, we benefited from the new capacities at our Blair site in the U.S. and also for demand pickup in -- towards the end of the quarter as the negative impact of the avian flu in China was overcome.
 In most of the other regions, apart from China and especially in the emerging markets, we experienced good demand for Methionine in the second quarter. Prices were not able to keep up with the positive development. Our amino acids suffered from weaker prices in the second quarter. Pricing of Methionine was partly impacted by avian flu.
 Additionally, high raw material costs for Lysine, still a consequence of the severe drought in the U.S. That last year put pressure on our earnings in this segment. This raw material effect was slightly worsened in the third quarter before the new harvest, which is expected to result in a recovery in the fourth quarter.
 So please move on to Chart 12: Resource Efficiency. The 2 business units within the Resource Efficiency segment once again proved their resilience despite difficult conditions in some end markets. Organically, sales were stable. The adjusted EBITDA margin increased by 60 basis points, reflecting the strong underlying business performance and portfolio effects, such as the divestment of our colorants activities and the restructuring of the photovoltaic business.  
 Within Inorganic Materials, Silica continued its good performance thanks to the diversified end market exposure. This business was able to increase volumes compared to the prior year quarter despite its exposure to challenging end markets, especially the tire and silicone industries.
 Coatings & Additives benefited from the normal seasonal upturn in demand from the coatings and construction industries in the second quarter even though this was not as pronounced as last year. Nevertheless, the good development in oil additives and coatings and adhesive resins helped the business to improve earnings and margins. Our road marking product performed especially well. 
 Looking ahead to the third quarter with regards to the year-on-year comparison, let me remind you that Resource Efficiency had positive operational onetime effects in the last year's Q3 from settlements of take-or-pay supply agreements with photovoltaic customers and the release of some provisions. Overall, these effects amounted to around EUR 50 million.
 Let's move on to Chart 13. Sales in the Specialty Materials segment declined due to lower volumes and prices. The Performance Intermediates business, our C4 chain, had the biggest influence on the drop in revenues as it was affected by lower Butadiene prices due to the global weakness in the tire markets and lower output as a result of the maintenance shutdown.
 Performance polymers sales declined modestly with MNA [ph] -- MMA and PMMA still facing soft demand, especially in Asia and Southern Europe. While markets remained challenging, a planned outage at a competitor is providing some short-term upside potential for MMA in Europe.
 In terms of earnings, Q2 was, as already mentioned, heavily impacted by lower prices, especially for Butadiene compared to the high levels of last year's second quarter. We also had an extensive shutdown of C4 production facilities in Marl. Our main supplier here for C4 crack has shut down its crackers for maintenance, and we schedule maintenance of our facilities accordingly. On top of that, we faced difficulties in our logistics networks. For example, some C4 shipments were delayed due to the floods in Europe throughout May and June. The overall effect of the shutdown and the logistic challenges alone impacted Q2 adjusted EBITDA by about EUR 30 million.
 We started to bring our C4 chain back into operation from mid July onwards, so we expect large parts of this effect to be reversed in the third quarter. However, we might see an additional negative effect from the higher logistic costs in Q3, resulting from already announced strikes at locks on German waterways. Additionally, the continued weakness of Butadiene prices may negate parts of the earnings turnaround. 
 So let's move now to  Chart 14: CapEx. Across all the segments, we are continuing our EUR 6 billion CapEx program. All the projects in execution are generally on schedule for the intended startup dates and in line with the budgets. Nevertheless, realization of our CapEx program is not set in stone from today until 2016. In view of changes and market conditions for the coming years, we will review projects that have not yet commenced and possibly postpone the starting dates. Flexibility in the realization of the CapEx program enables us to scale back the budget for this year from EUR 1.5 billion to EUR 1.2 billion by spreading it over an extended time period.
 Taking advantage of this flexibility, however, does not mean that we are fundamentally calling into question the CapEx program, which is a cornerstone of our growth strategy.
 Chart 15: On Track 2.0. Good progress here within the efficiency enhancement program. In the first half of 2013, we achieved further savings of a good EUR 50 million, together with the cost reductions made in 2012. Just 18 months after the launch of this program, we have already leveraged nearly EUR 200 million of the planned annual savings of EUR 500 million. In addition, we have set up a cost management project to identify potential short-term savings, additional short-term savings that can be realized immediately. Here, we can build on our experience of recent economic cycles, where we have proven that we are able to realize short-term cost savings without harming our operational business.
 On top of the On Track program with major contributions from operational excellence and procurement and the just-mentioned group-wide short-term measures, we will also analyze our administration cost base. After the exits from the energy and Real Estate business, this more focused group structure should be reflected also in leaner corporate structures.
 Chart 16. Net financial debt increased slightly by EUR 93 million compared to end of Q1. The cash outflow from investing activities was partly compensated for by the first installments of EUR 100 million from the EUR 650 million special dividend from Vivawest. After the execution of the Real Estate transaction Q3, we will see significant deleveraging in most likely net financial debt around 0. 
 And this is concluding my comments on the Q2 figures. And Klaus will now close today's presentation with the outlook for the full year. Thank you, ladies and gentlemen. 
Klaus Engel: Thank you, Wolfgang. We continue with Page 18: Outlook for the full year 2013. As today's presentation indicates, global economic conditions are set to remain challenging during the next months. And the first half of the year was weaker than expected. And the global economic improvement predicted for the second half of the year will be far less pronounced than we had assumed at the start of the year. Therefore, we expect the development of our markets to continue at the weaker level seen in the first half of the year.
 Against this background, we are altering our outlook for the full year. We anticipate a slight year-on-year improvement in volumes in the second half of 2013, and we assume that selling prices will stabilize at the present level. Overall, we now expect sales in 2013 to be around the same level as last year, at around EUR 13 billion and the operating results to be below the very good 2012 levels. We assume that adjusted EBITDA will be around EUR 2 billion.
 What are the underlying assumptions that have changed compared to the end of Q1 when we confirmed our outlook? Back then, we anticipated an upturn in the second half of this year and higher selling prices for very key product areas. As just explained, we are now more cautious about the remainder of this year. The main impact will be on our feed additive and Performance Intermediates businesses. Back in Q1, the Butadiene price was close to EUR 1,400, and we anticipated that prices would increase slightly from that level in the second half. The same was true for Methionine. In both cases, prices moved in the opposite direction and fell tangibly through Q2.
 We also had to adjust our assumptions for Acrylic Monomers and Polymers and for Crosslinkers due to weaker market conditions. Moreover, our assumptions for Bioproducts were adjusted in light of lower prices and higher raw material prices.
 In all, the extraordinarily weak business conditions and price levels in part of these 6 business lines have forced us to reduce our EBITDA guidance. What is important is that the aggregate for the other 18 business lines is broadly in line with our expectations. And here, the diversification of our portfolio works well with some slightly stronger businesses compensating for weaker ones.
 Let me once again stress very clearly that we are continuing to build on the strength of our specialty chemicals portfolio and remain committed to our internal and external growth plans. And to further strengthen our leading market positions in strongly growing end markets, we are continuing our investment program in more than EUR 6 billion. Construction of our new DL-methionine complex in Singapore is fully on track to come onstream in the second half of 2014. And we are currently also expanding our silica capacities in Thailand and Brazil. Demand for precipitated silica is rising strongly, not only from the local car industry, but also in the areas of life science and agriculture.
 The facility in Americana, Brazil, with an investment level in the mid-double-digit million euro range will clearly be Evonik's first silica production in South America. 
 On the other hand, growth has to go hand in hand with cost discipline. They are 2 sides of the same coin, and Wolfgang has already explained the additional short-term cost-saving measures we are now introducing and also the flexibility in the implementation and the timing of our CapEx program. The overall responsibility and the monthly monitoring of these cost savings lies within the whole -- the entire Executive Board, and we take this very seriously.
 Over the coming months, the whole organization will be focused even more strongly on operating performance and the underlying drivers. This means an even stronger focus on efficiency, customers and key markets. And this is exactly what I communicated today in a letter to all 33,000 Evonik employees around the globe. And given this situation, we will work hard in the remainder of this year to achieve an adjusted EBITDA north of EUR 2 billion. 
 This ends my presentation. I will now hand over to Tim for the Q&A session. 
Tim Lange: Yes, thank you. Let us start with the Q&A session. [Operator Instructions] This should give everybody the opportunity to participate in a quick first round of Q&A before we open the line again for your potential follow-up questions. 
 With this, I'd like to now hand over to the operator. 
Operator: [Operator Instructions] Our first question today comes from Ronald Koehler from MainFirst. 
Ronald Koehler: First question is on Butadiene price. We obviously have seen the price going further down in the third quarter. And I have 2 questions on that. The first question is on the flexibility of production. I believe you have -- might have some flexibility to use crude C4 to use with -- produce Butene-1 or other products, so meaning lowering your output in Butadiene. I just would like to get a bit of insight on that. Second question, Butadiene, you obviously said in your outlook you're expecting stable prices. And the question is, how did you figure into that statement the reason Butadiene dropped in the third quarter. Second question is on Methionine volumes. Obviously, the volume seems to be pretty good. So I assume you had actually potentially even flat or slightly increase in volumes. So can you a bit explain where the price pressure actually came from when your volumes, were good -- and yes, were the market volumes also reasonably good? Or did you gain some market share? And third question is on dividend. You have this... 
Klaus Engel: Maybe let's take -- 3 questions. 
Tim Lange: Yes, one question only. 
Klaus Engel: Okay. First of all to Butadiene, yes, it's true. It's one of our strengths that we can, to some degree, optimize our production for boon [ph] structure in Marl and Antwerp. That helps a little bit. And please also bear in mind that a significant of -- amount of Butadiene is consumed internally for higher value-added products, for instance the polyamide 12 chain. We had recently issues here, and the market is calling for new products. So part of the Butadiene is converted into higher value-added products in the high-performance polymers part of the business. Yes, we believe that the current very low prices of Butadiene is somehow an exaggeration. We know the reason. That's the weakness of the global tire industry. We observed this as well. Nevertheless, we still -- we believe that there are structural reasons that over the time, the situation will stabilize. In our view, the situation is clearly demand driven from the supply point of view. It's obvious that over the time, as natural rubber becomes more and more short and synthetic rubber will be needed for the tire production, also Butadiene will become, over the time, a midterm shorter again. And also here, with usually Butadiene supply growing very broadly in line with the ethylene production and lighter feedstock is used. Also from the supply side, there should be a structural argument for a recovery for Butadiene in the midterm. Volumes of Methionine, 2 reasons for the price pressure here. We had temporarily the issue of the avian flu, which was, by the way, handled much more professionally and much more swiftly by the authorities in China than at recent events before. So we believe that this is now under control and the worst is over. But for a couple of weeks -- for 2, 2.5 months, of course, we have seen the impact from this bird flu event. On top of that, you know that there are some materials available in the market and especially in Asia where the customers are betting on prices, and the market is very hot. That has caused some speculative moments that has put some price pressure on the Methionine price. We, as a market leader, we take on our responsibility to not follow and support. Every deal we are aware that we maintain our already leading market share, also in light of our new production capacity that will come onstream next year. And we believe that our market share here is good argument to bring the new material into the market also as swiftly. I think that has covered the questions regarding Butadiene and Methionine so far. 
Wolfgang Colberg: Maybe 1 additional comment from my side, Ronald, concerning your question on Butadiene price. So our outlook 2013 is based on Butadiene price above EUR 1,000 towards the end of the year, but we have some risk buffers also in between. 
Operator: Our next question comes from Thomas Gilbert from UBS. 
Thomas Gilbert: One question on Slide 19. Just surprised to see in the 6 of the 24 business lines that you mentioned with price pressure, the Acrylic Monomers and Specialty Polymers. Can you square that off with your comment that Consumer Specialties will have a strong third quarter? Because I reckon Acrylic Polymers also include superabsorbent polymers. So if you could talk to which products in the C3 chain you see the pressure and how you square that off, and whether that's temporary based on Nippon Shukobai, or whether you think there's a longer drought for pricing in that value chain. 
Klaus Engel: Yes, maybe a comment on that. I think we talk about 2 different businesses here. So we have on the one side the Baby Care business, which is very stable, as I commented before, and also we expect a good development in the third quarter. The other part is in the Specialty Materials sector, so it's Acrylic Monomers and Acrylic Polymers. So in this business, we see some weakness in the markets of Southern Europe and also Asia. So here, we have some lower volumes and also some prices, which are a bit weaker. But it has nothing to do with the Baby Care business, where we remain very optimistic about. Regarding the MMA and PMMA value chain, disregarding our overall on a group level pretty diversified exposure regarding end markets, in MMA and PMMA, we have products which have probably the highest exposure to 2 markets that were affected also by weather effects here. So MMA, PMMA are materials that are used for construction, outdoor construction and also car industry. And as Wolfgang said earlier on regarding the car industry, here in particular, the south of Europe and -- producers here were pretty weak. And the strong winter both in the U.S. and also here in Europe has caused reduced demand for PMMA sheets this year. 
Thomas Gilbert: So can I just confirm that basically the mechanism for a cyclical recovery here is merely based on volumes returning? There is not too much product in the market? 
Klaus Engel: Yes. 
Operator: Our next question comes from Andreas Heine from Barclays. 
Andreas Heine: I have a question regarding the short-term cost savings. What do you think you can realize in this year? And how is that factored in your outlook? 
Wolfgang Colberg: Yes, so our expectation is that we can realize some, well, around EUR 40 million for this year, still effective in this year. And as you can imagine, we have chances and risk balance, and this is also -- and there's chances and risk balance. And as Klaus pointed out, this will help us -- help our ambition to come out north of EUR 2 billion in EBITDA. 
Operator: Our next question comes from Lutz Grueten from Commerzbank. 
Lutz Grueten: On the CapEx budget, the reduced one from EUR 1.5 billion to EUR 1.2 billion in 2013, can you give us some projects which are affected here? And do we expect them -- when to come? 
Klaus Engel: Yes, as we said, of course, it's part of our overall growth strategy that we have some very significant CapEx projects coming over the next years. And to be very clear here, all of our top strategic investments, projects are not affected. So meaning, first of all, the investment in Singapore for Methionine but also our engagement in personal home care ingredients in China and Brazil, the Lysine expansion in Brazil and Russia. Silica are not questioned here. They are underway. It makes sense. And we are happy to report that they are on budget and also, timing-wise, on schedule so far. Nevertheless, we had a couple of, I would say, smaller to midsized investments where we have some flexibility in timing where we have not just started with the expenses here. And we decide on a project-by-project base [ph] whether it is -- makes sense to start with a project right now or keep the money for a while to watch out how the market situation is in the coming weeks and months. That gives us some flexibility without hurting the overall growth story here. And as just -- as you said, by this flexibility -- as you saw by this flexibility, we'll just adjust -- save EUR 300 million only this year. 
Lutz Grueten: So you are stretching the entire program, but the EUR 6 billion will be there by 2016, yes? 
Klaus Engel: From today's point of view, yes. But as I said, we also have a flexibility in starting new projects in a delayed version according to market developments. So we are not fixed -- nothing is fixed in stone here. The general ambition is there, clearly. But also, aside from the small projects, the start of some bigger projects might be delayed, and this normally then takes in also the investment into 2017, clearly. 
Wolfgang Colberg: The EUR 6 billion is a frame, but we'll take a more cautious look on any individual project. 
Operator: Our next question comes from Andrew Benson from Citi.
 Our next question comes from Rakesh Patel from Goldman Sachs. 
Rakesh Patel: Just 1 quick question, if I may, partly related to Thomas' question on Baby Care. If I got this right, I think you are suggesting that volume should remain very strong in Q3. But does that mean you expect then volumes to drop off in Q4 and into next year when your competitor comes back onstream? And in that case, what would you also see happening to pricing, especially on the propylene end? 
Klaus Engel: Yes, we don't think that it will be fallback in Q4 following because we have, in this area, we'll have also market growth, and we expect also to have some medium and long-term positive effects from that special situation, which happened in the market in the first half. And so we have very deep and intensive customer relationships, and we provided -- we prove to be a very good partner also in these difficult quarters, and that certainly will have positive effects also in the medium and long term. Yes, and there's 1 effect for sure, also, which is not sales related but EBITDA related, as propylene prices, where we will have -- might have a short-term price effect slightly negative, but this will be passed on then in the following quarter. So also on that side, we think there's medium-term positive effect. 
Operator: Our next question comes from Martin Evans from JPMorgan. 
Martin Evans: Just to sort of draw a line under your caps [ph] guidance. When you listed at the end of April, I think the guidance presumably [ph] was around EUR 2.4 billion for this year, and you lost EUR 400 million in 12 weeks or so. And yet at that time we knew about bird flu, and I think trends in Butadiene were becoming pretty apparent, and yet you didn't then resign your guidance when you had an opportunity to in the prospectus. So can you just explain to me what went wrong? Was it that these markets were far, far worse than you thought literally the period after listing? Or was there some other reason at the time where you felt it was appropriate not to be more realistic with your guidance at that point? 
Klaus Engel: To be very clear here, I think we have elaborated a little bit on these. But as a matter of fact, when we were talking during Q1, there was -- and I think we were not the only one, the clear view from a macroeconomic point of view but also on the particular product lines that the second half of the year would support prices. And of course, it's true that we have benefited in the last years, in particular, from contributions of 2 lines that were important for our portfolio: Feed additives and Performance Intermediates. And we have seen that the Butadiene price, as you rightly said, in the first quarter moved from EUR 1,400, not upwards, but south. And I think we were not the only one who have taken notice of this development. And if you ask today, there is a fundamental logic that would support the future development over a longer period of time. For the next weeks, it is very highly speculative. It is a more volatile product, that's true. But I think from our point of view, it was not visible at this point in time to foresee the development that we have seen in the second quarter. So please don't get me wrong, but of course, here, the saying applies: Afterwards, you are always wiser. On the Methionine business, I think we have explained the reasons as well here. The bird flu event is something that appeared in the past as well but has nothing to do with the fundamental growth in this area. I think I have pointed out that the authorities have handled this quite well. We also believe that we, as a market leader, we can benefit on the very sensitive sentiment in Asia right now that everybody is looking for food quality and a safer food supply. And as we are offering also services regarding the quality of industrial food production, I think that is something that will, over the time, also play in our favor. So yes, we have to cope with the market development. And of course, we have taken measures, countermeasures, cost programs here additionally to cope with that. And as I've said before, we are confident that we can recover some of the earnings we have lost the last month. But nevertheless, I would say at Q1, at this point in time, the situation was not foreseeable. 
Wolfgang Colberg: And, Martin, maybe a comment also from the CFO side. So we have, as I pointed out, an effect of north of EUR 100 million coming from Methionine and coming from Butadiene. And the thing which happened, which is extremely unlikely, is that, in the same quarter, we had very negative effect in 2 totally uncorrelated markets. And when we take our experience from the past, it has been very often that there was a sharp rebound in the next quarter, and so this was also our expectation in April. And this didn't happen, and you saw what happened to the Butadiene market completely unexpectedly. And so within this, as you frame it, it's a very short period of time fundamental price assumptions changed and mainly also for the rest of the year. And so, I think it's very consistent that it's now that we revise our outlook. 
Operator: Our next question comes from Oliver Reiff from Deutsche Bank. 
Oliver Reiff: I've got 2 questions. Firstly, given crude C4 prices have fallen quite a lot, do you see any risk of cracker suppliers starting to use this crude C4 stream internally to increase yields? And if prices go below a certain value, are you protected from that in any way? And my second question is, what you're seeing in July in terms of Methionine pricing and volumes. 
Klaus Engel: Regarding the crude C4 stream, I think we have disclosed already in the past that we have price formulas that [ph] are linked to NAFTA. So there's a correlation with the NAFTA pricing. And with regard to Methionine, in July, the recent trend, we see stabilization, both in volumes and in prices, but it would take probably some weeks to recover here. So as I said, regarding the bird flu, the worst is over. We are not expecting the extraordinary high margins that we have seen in the last 2 years, where with also in a positive way an extraordinary situation, but it's true that we have seen a recovery from the bird flu event, and that helps also to stabilize the market. 
Oliver Reiff: Can I have a quick, one quick follow-up question? Could you remind us of the impact of the size of the provision reversal in Resource Efficiency in Q3 last year? 
Klaus Engel: EUR 50 million. 
Wolfgang Colberg: These were a couple of effects. It was not only provision release, it was also a take-or-pay arrangement in the photovoltaic industry that we exited with the restructuring of the business. So it's not only provision release, it's been a combination of effect, but as he said, a total of EUR 50 million, 5-0, and all in the Resource Efficiency segment. 
Operator: Our next question comes from James Williamson from Morgan Stanley. 
James Williamson: I'm just coming back to Butadiene. We've, I think, been seeing increasing evidence of China adding capacity in Butadiene and not really related to the ethylene side, so on purpose, butene based. And I wondered whether you thought that might have an impact on the supply/demand balance going forward and whether you've already seen any impact from this increased capacity in China for Butadiene? 
Klaus Engel: Of course, there are always 2 sides to be looked and analyzed upon: Demand and supply effects. We firmly believe that the current drop in prices is more demand driven than supply driven. Yes, there are some announcements and some capacities of Butadiene, which also influenced the market here. But as far as the famous dehydrogenation projects are concerned, please bear in mind that there are also production costs incurred with these technologies. And we believe if in a market situation extra capacities based on this technology would come onstream, they would more support a certain price floor for Butadiene because this is not for free, and dehydrogenation technology, both for C3 propylene and also C4 has its price. So we're not too much concerned about this technology that would also support a floor for Butadiene rather than other capacity increases here. And again, yes, of course, that would have some effect, but we still believe that the major impact is coming from the weak tire industry. 
Operator: Our next question comes from Andrew Benson from Citi. 
Andrew Benson: On the amino acids business, all components have contributed to the poor performance. You blame it on Asian flu and temporary high raw material costs. I mean, both of those are unwinding pretty rapidly or ended. So do you see a strong recovery now into the third quarter? And if not, are there other factors that are going to act incrementally on these businesses looking out into the second half? 
Klaus Engel: Yes, let's reiterate here what our view is on pricing. We expect prices to start stabilizing over the coming months when demand will pick up again. And of course, it's also I think transparent that there is some capacity that needs to be absorbed later on in this year that will have some effect on the pricing but, nevertheless, given the strong underlying growth in this area, that will be digested by the demand growth here as well. So the market should stabilize and the strong influence that we have seen once again from the temporary effect from the bird flu should be over. 
Andrew Benson: So in the second half, would you still expect the Methionine to be materially weaker or to just -- or to be stable with the prior year? 
Klaus Engel: No. As I said, the market will stabilize both in volumes and prices. 
Wolfgang Colberg: But Andrew, what we don't see, and this is also something why we alter the outlook, is a strong rebound, for example, as we've seen it in prior quarters last year or the year before. This is -- it's a stabilization, but it's not a strong rebound. 
Andrew Benson: And on the amino acids? 
Klaus Engel: Yes, as I pointed out, we have especially Lysine here, so Q3 in Lysine will still be impacted from the higher raw material costs because of the drought, which is especially impacting our Blair site. But then we expect a recovery in the fourth quarter because then the new harvest will come in, and this will certainly and strongly ease the raw material costs. 
Andrew Benson: This is just the cost pressure. There's no price pressure on that? 
Klaus Engel: There is some weakness on the prices here also, but the main effect comes from the cost side, from the feedstock, yes. We see some positive signs here also. So the soy-corn spread is forecasted to stay at comparatively high levels, which will increase the use of Lysine also. And the harvest this year is forecasted very, very good, so we think that this will also further lower the prices of feedstock. 
Operator: Our next question comes from Lutz Grueten from Commerzbank. 
Lutz Grueten: Yes, on Butadiene again, regarding your demand picture here, you said that the global tire industry is still quite weak. What's the latest experience here? Could you give us a trading update on volumes in C4 in July, whatever number is available here? 
Klaus Engel: Our current view is here that the overall economic conditions in Europe will continue to be dampened and the development in China is also honestly lagging behind the expectation. And this becomes visible less in new cars, which is from our intelligence around about 30% of the tire market; and less replacement tire sales, which is 70% of the tire market. And on top, again, here there was -- from the weather side, we had the long winter in Europe that has led to some delay in the change from winter to summer tires; and also some customers, in terms of reduced available income, seem to drive the tires longer. The U.S. market is still relatively stable, and we see currently volumes from China, which are shipped into the U.S. So just from that, as we said before, the Butadiene market currently really faces here unfavorable end market demand that is consequently leading to lower prices. 
Wolfgang Colberg: Let's -- to put it into the right frame, so the Butadiene is affecting our business in 2 ways. So our volumes are not primarily affected from the tire markets because we are delivering 1/3 to our own PA12 production, 1/3 to an on-site customer who's not in the tire business and only 1/3 goes into the free market and part of this into the tires. Our volumes are not affected here, but it's only the prices because the pricing is indexed as put on the world market prices. So -- and to make it clear, we are still earning very good money in that business, now only the margins are lower than they were last year. So I think it's not like other suppliers who are now heavily under capacity and so on and so on. So our situation is different. 
Lutz Grueten: And so I was asking regarding the tire industry because this was your explanation why the demand was weak. So let's talk about the other 2/3. What about the on-site clients, the on-site customers? 
Wolfgang Colberg: So that business is on volumes. We are not depressed here, so no change. And the tire industry is the explanation why the price level is low. And the price level is also applying to all business, and the multiple then is clearly down, but the volumes are not affected.  
 And the business is still earning good money, so that's I think an important message. 
Operator: Our next question comes from Thomas Gilbert from UBS. 
Thomas Gilbert: On -- obviously, we've talked about the tire industry, but also the resilience of highly dispersible silica. Can you give us a flavor of the price volume inelasticity of this product and how it is performing in a weaker demand environment? So is -- have the margins completely decoupled from a volume slowdown in this area? And also maybe just confirming that you're not delaying Silica expansion projects or new greenfields in that area. 
Klaus Engel: I think in light of the difficult environment that we have talked about before, when it comes to precipitated silica, we can say that our business shows a very stable performance here. And of course, in a particular way, we're benefiting here from the general substitution trend that refers to the green tire story, and we could also see here some market share gains. So year-on-year, we have seen in silica stable sales, higher volumes and prices quarter-on-quarter, higher sales. All in all, very solid performance in partly difficult end markets. Partly we talked about the tire market before. And once again, yes, I think that really the strategic strength of our Silica business, that's why we like this so much, and that refers specifically also to a fumed silica, is that we're really benefiting here from a diversified range of applications, which are very -- which refer to very different end markets: Food, electronics, coatings or plastics. So very much beyond just the demand from the tire industry. And all in all, I think we can say that less than 1/3 of Silica sales actually are into the tire industry. 
Wolfgang Colberg: Concerning the CapEx projects, no change, so running on track and schedule and no change. 
Klaus Engel: Yes, as we have published recently against the background of our plans here, we are increasing globally our capacities in the Silica business. 
Operator: That will conclude today's question-and-answer session. I would now like to turn the call back to Mr. Lange for any additional or closing remarks. 
Tim Lange: All right. Ladies and gentlemen, that brings us to the end of today's call. Thank you very much for your attention and your questions. Let me close you -- let me close the call by reminding you of our Capital Markets Day. We are looking forward to welcoming you at our headquarters in Essen on September 3. Thank you and goodbye. Have a great day.